Operator: Thank you for standing by, and welcome to the AGL Energy Full Year Results 2021 Investor Briefing Call. All participants are in listen-only mode. If you are allowed to ask a question following the presentation, please ensure you are pre-registered via the webcast link. I would now like to hand the conference to our CEO, Mr. Graeme Hunt. Go ahead, Graeme.
Graeme Hunt: Good morning, everybody. Graeme Hunt, speaking. Thank you for joining us for the webcast of AGL's full year results for financial year 2021. I would like to begin by acknowledging the traditional custodians of this land of where I am presenting from you today, and pay my respects to their Elders, past, present and future. I would also like to acknowledge the Traditional Owners of the various lands from which you are all joining from and any people of Aboriginal and Torres Strait Islander origin on the webcast. Today, I'm joined by Damien Nicks, our CFO; Christine Corbett, Chief Customer Officer; and Markus Brokhof, our Chief Operating Officer. I'll get us started before handing over to the team and we will have time for questions at the end. Financial year 2021 was one of the toughest energy markets have seen. Wholesale electricity prices were at levels not seen since 2012. While demand was impacted by lockdowns, mild weather and increasing penetration from rooftop solar. In gas, we had older legacy gas supply contracts rolling off and new contracting at more contemporary pricing. These dynamics have all impacted our FY 2021 financial results. Underlying EBITDA of AUD 1.66 billion was down 18%, while underlying NPAT of AUD 537 million was down 34%, reflecting the additional impact of higher depreciation expense as forecast. Our statutory result was impacted largely as already announced, while the charges associated with onerous contracts, rehabilitation provision increase, Crib Point's cessation, impairments and integration and separation costs. The total dividend for the 2021 year was $0.75. This comprised $0.65 of our ordinary dividend and $0.10 of the special dividend in the first half. The special dividend program has now been terminated. However, AGL Energy expects to continue to pay dividends equal to 75% of underlying net profit after tax, unfranked, and 100% underwritten for the final 2021 and interim 2022 dividends. While conditions have been challenging, AGL Energy has continued to deliver on its strategy. Customer service growth remains strong. We added 254,000 new services over the year through the Click acquisition and solid organic growth, maintaining our status as Australia's largest energy-led, multi-product retailer. It is still very early days for the AGL Energy telecommunication products, but we are seeing steady growth and the anticipated benefits to customer loyalty, multiproduct growth and tenure are coming to fruition. During the year, we completed a number of important acquisitions. Christine will cover the Click acquisition in more detail. Solgen and Epho have both boosted our presence in the commercial solar market and have continued to perform well, winning new material installation contracts. The Tilt acquisition via PowAR, completed last week, will further support our orderly transition away from coal-fired power. Lastly, our OVO transaction is a strategic JV, providing a future option to leverage the expected demand for our EVs, residential batteries and demand management, while allowing customers to be active participants in the energy transition and using their own emissions. We remain on track to deliver on our plans for at least 850 megawatts of grid scale batteries with FID reached on the Torrens Island battery and further progress on the Liddell and Loy Yang batteries. In recognition of the important role AGL will play in the energy transition, we have proactively supported the Say on Climate movement by committing to provide shareholders with an opportunity to vote on our climate reporting at the AGMs relating to the 2022 financial year. Our guidance for the financial year 2022 for underlying EBITDA is AUD1.2 billion to AUD1.4 billion and for the underlying net profit after-tax AUD220 million to AUD340 million. These ranges reflect a further material step down in wholesale electricity earnings as hedging positions established when wholesale prices were materially higher progressively roll off and the nonrecurrence of Loy Yang insurance proceeds. That said, the outlook for FY 2022 and beyond will be impacted by wholesale electricity markets, and I'll talk more about what we are seeing there shortly. On June 30, we announced our proposal for AGL Energy to become Accel Energy and the demerger of AGL Australia. This is a complex transaction towards which we have made good progress. And subject to shareholder and relevant approvals, we remain committed to final completion in the fourth quarter of FY 2022. The related debt financing process is progressing well, and today, we have announced further management team appointments with more to come in due course. We are confident that the proposed demerger will create two new entities with clarity of purpose and strong foundations, positioning them well to the energy transition while protecting and delivering value to shareholders. Moving now to our three core operational areas; safety, customer experience, and employee engagement. The total injury frequency rate per million man-hours worked decreased markedly to 2.3 for employees and contractors combined for the year. That's a material improvement on FY 2019 and 2020, reflecting our strong focus on safety culture from the top down. We will continue to do more to keep improving our safety culture and practices while running our plants responsibly. We added 254,000 customer services over the year, which includes 198,000 Click customers. In addition, we have delivered a further improvement in the Net Promoter Score, demonstrating customer loyalty and the improvement in our customer experience. Our employee engagement measure, unfortunately, has fallen 11 percentage points from FY 2020. This result was understandable given the challenges in energy markets currently and the uncertainty arising from the planned demerger. We are working to address employee engagement through strong internal communication and the establishment of the new organization structures as soon as possible. This slide shows a further summary of our financial results, which Damien will cover in more detail. Whilst these results are very disappointing, they are not inconsistent with the circumstances and challenging -- challenges the business has been facing. That said, we have an accountability to focus on positioning the business to be more robust in the face of such challenges going forward. Now let's take a look -- a more detailed look at the electricity market conditions. On the left, you can see the challenging forward prices seen at the beginning of the year due to a lack of summer volatility reducing forward price expectations. In April, wholesale electricity prices improved, and this became more pronounced in late May and June due to the Callide and Yallourn incidents. This price improvement has been driven not only by the unplanned outages, but also through increased demand, higher international commodity prices and an increase in the number of planned outages, which were previously deferred due to COVID-19. Pleasingly, the dotted line indicates that markets expect the recovery to be sustained into FY 2023. On the demand side, we have seen a small recovery through May and June due to an early cold winter and a brief period of limited COVID-19 restrictions across Australia, bringing with it a return in business and industrial demand. Looking ahead, we expect demand to bounce around with intermittent lockdowns in the milder spring months. Over the short-term, as Markus will cover in more detail, our hedge position will limit potential upside from recovery in wholesale prices. Longer term, however, our low-cost generation position will give us a relative strength amongst existing market generators, making AGL well-positioned to benefit from any sustained recovery in wholesale electricity prices. Today, I am pleased to announce two further executives identified for the new entities. Markus Brokhof for Accel Energy as Deputy Chief Executive Officer and Chief Operating Officer; and Damien Nicks for AGL Australia as Chief Financial Officer. Markus and Damien both have extensive industry experience and proven leadership and strategic execution skills, which will be invaluable within both organizations. While the new demerger entities will be smaller organizations, these executives will have broader remit and responsibilities. These appointments will take effect upon the proposed demerger. Since our June 30, demerger proposal announcement, we have made good progress. We have commenced with the internal separation of our IT systems and some corporate and operational divisions. The transitional service agreement is coming together, which will provide a governance framework for work conducted between the entities. As we make progress on the corporate structures for the new entities, we will have greater clarity on the expected cost basis. And I can confirm that on top of fully offsetting the cost duplication created by the demerger, both Accel and AGL Australia are working to identify further cost efficiencies. We continue to progress the finalization of the capital structures and funding for both new entities, and we expect to provide the next update on our demerger progress at our AGM next month. I'll now hand to Christine to take you through our customer markets results in more detail.
Christine Corbett: Thank you, Graeme, and good morning, everyone. As Graeme has discussed, market conditions in FY '21 have continued to be challenging. However, our strong customer focus has been unwavering, and this is reflected in our continued positive customer efficacy and good customer growth. At the same time, we have improved the fundamentals of our business, significantly lowered operating costs, improved the customer experience and extended our product offering. Our performance in FY '21 has been underscored by continued customer growth, the execution of our energy led multiproduct retailing strategy and a focus on underlying cost efficiencies. I'm pleased to report that underlying EBITDA was $337 million, up 16%, reflective of higher gross margin and lower operating costs. Our investment in digital transformation in prior years, together with the continued focus on efficiencies, helped absorb the increased operating costs associated with acquisitions and new products. The increase in gross margin was driven primarily by higher consumer gas gross margin and solid gross margin contribution from Click Energy. This was partially offset by a decrease in consumer electricity gross margin due to customers switching to lower-priced products. Capital expenditure increased as a result of investments to support the launch of AGL telecommunications, offset by a decrease in software-as-a-service development costs. As I mentioned at our half year results, regulatory intervention, customer behavior and high levels of competition have resulted in electricity margin compression in recent years, most prominently in Victoria. However, we expect to see retail energy margin settle towards sustainable levels in the short to medium term. In FY '22, we will continue to focus on organic growth and scaling our AGL telecommunications offerings to our energy customers. We will further improve the customer experience, while at the same time, drive greater reductions in our cost base as the business is further digitalize. And in the commercial and industrial segment, we will continue to expand our position as a leading provider of commercial energy solutions. Our customer book continues to grow in size and strength. Our strategic Net Promoter Score again reached new highs in FY '21. AGL now provides over 4.2 million services to customers and 4.5 million if you include the ActewAGL services. This number has increased by 0.5 million services over the past 3 years, driven by a combination of strong organic growth and key strategic acquisitions. Offering our customers more targeted services has been a key priority in our multiproduct strategy.  As customers become increasingly connected, we want to be at the forefront of that transition, and as such, have expanded our services in telecommunications, which have seen robust uptake in the last few months. During the period, we also launched our carbon-neutral offering across all AGL products. We've seen solid take-up of carbon-neutral energy with good growth occurring in the second half of FY '21. And we are now providing carbon neutral to all new and existing telecommunication services at no extra cost. Pleasingly, against the backdrop of a highly competitive market, we have maintained low levels of churn with a slight improvement in our spread to the rest of the market. Finally, our underlying net operating cost per customer service continued to fall, driven by our investment in systems and our ongoing focus on simplification and digitization. This is a result of a significant reduction in manual back-office operations and call center volumes, which are 36% lower than in FY 2018. At the same time, we have driven a 48% reduction in the ombudsman complaints and realized significant cost efficiencies in our campaigns and advertising costs. Our four key acquisitions have built strength and capability, as we drive our multi-product retailer ambitions. The acquisition of Southern Phone Company, in December 2019, has provided a launchpad for our AGL telecommunication offerings, which we launched earlier this year. Initial take-up of the offering has been strong. And pleasingly, more than 98% of AGL telecommunication sales today have been part of an energy-telco bundle. We also acquired Click Energy, building on our strong energy customer services growth in FY 2020 and have successfully migrated more than 200,000 customers to AGL systems in the last six months. Our retention rate of these customers was greater than expected, and we are now realizing cost-to-serve savings as a result of systems and operational synergies. We have integrated on the move with our existing moving services business ConnectNow, giving us an even stronger competitive position in the movers market. The acquisitions of Epho and Solgen complement and bolster our existing solar capabilities, enabling AGL Energy to deliver more tailored and innovative energy solutions for businesses. Since acquisition, both businesses have continued to win key projects with the addition of more than 38 megawatts of new commercial solar sales. We are now Australia's largest supplier of commercial solar with the systems and technology in place to deliver more than 70 megawatts of commercial solar each year. As we integrate these new acquisitions, we continue to focus on maintaining our leading technology position. Our phased investment approach will keep driving value today, while providing real options for tomorrow. The short-term horizon will use proven technology to help scale our multi-product proposition, while delivering further cost efficiencies over coming years. It will focus on updating the middle layer of our technology stack, such as our customer relationship management systems, making it easier for our agents to find solutions for our customers. The next horizon is centered on bringing world-class technology and innovation to Australia, through our partnership with Ovo Energy, one of the UK's leading independent energy retailers. Ovo customer's platform, Kaluza, provide strong optionality on future deployment on an intelligent, low-cost-to-serve core platform and presents an exciting opportunity to engage with customers more effectively in a multi-product environment. And now, over to Markus.
Markus Brokhof: Thanks, Christine, and good morning, everyone. I will provide an overview of our integrated energy results, which covers our trading, origination and operation business areas. As you can see, this year has been an exceptional challenging year. Gross margin and EBITDA has both fallen, and capital and operating expenditure have both risen. There are a few reasons for this. Overall, the market has been challenged as wholesale electricity prices have fallen. As prices rose in the final quarter, a confluence of outages in the AGL portfolio left us in a challenging position. This price rise may not be sustained. We have seen some margin compression with legacy gas supply contracts rolling off. While we have been successful in recontracting in the short to mid-term, recent contract prices are higher than AGL's legacy contracts. COVID-19 has continued to have an impact, both indirectly through suppressed industrial demand and directly through costs associated with ensuring that COVID-19 is appropriately managed on site. Year-on-year, the impact of COVID-19 on OpEx has slightly reduced. $18 million in FY 2020, $15 million in FY 2021. In addition, the change relative to last year is that due to the remaining term of Liddell, you will see $17 million of costs associated with Liddell flowing through OpEx rather than CapEx. As I look to the year ahead, it is clear that capital and operational expenditure must be a focus for us. The environment requires discipline and prudent spend. The initiatives identified and are already underway in delivering against the FY 2022 reduction of $60 million of OpEx and $100 million of CapEx in integrated energy. Our OpEx reduction initiatives are targeting procurement and service contracts, in-sourcing, maintenance savings, reprioritizing work to reduce over time and gaining operational efficiencies. Growth capital has been reviewed and minimized on the back of lower wholesale electricity prices with the mid-life refit of Bayswater and Torrens Battery comprising the major items remaining in the FY 2022 budget. In addition, with our outages, we have challenged scope of work, timing and contractor costs in order to reduce sustaining capital. This spend reduction will not be at the cost of a focus on health, safety and environment. We will be promoting continuous improvement in this space and taking on the learnings from our December incident at Liddell. I'm proud of our reduction, the total injury frequency rate. We need to progress this even further, with a focus on making a difference in the reduction of incidents that could result in serious injuries. Another key pillar for the trading team is managing price volatility. We must match our hedging ratio to an appropriate level given our fleet availability and reliability. I will talk more on this in a minute. AGL has made good progress this year in developing and advancing its asset development pipeline. This page illustrates how we are adding more flexible capacity into our portfolio and exploring opportunities to add new low-carbon development to transition our thermal site, such as transforming Liddell to an integrated industrial energy hub. As we have previously disclosed, the Hub at Liddell is expected to include projects such as the waste to energy site, a grid-scale battery, electrothermal solar storage with PV, pumped hydro, and the wind farm is the first set of development. The Integrated Industrial Energy Hub is a key element in the transition for AGL, with or without the proposed demerger. The hubs will use our existing land, connection, and skilled labor advantages to create a sustainable future for the regions in which we operate. A broad partnering scheme will mean that this is not a capital-intensive strategy for AGL. Two more mature projects, the Silverton and Coopers Gap Wind Farms, have made substantial progress, with Silverton achieving practical completion, while Coopers Gap is in the final stage of testing to enable full capacity generation by end of the calendar year. As some of Australia's largest wind farms, we are proud to have this in our portfolio via our shareholding in PowAR. Coopers Gap also played an important role in the portfolio during recent volatility in Queensland after the incident at Callide. As we announced earlier in the year, we have taken an investment decision on the 250-megawatt grid scale battery at Torrens Island. In addition, with our proposed battery development at Loy Yang, Broken Mill, and Liddell progressing through approval stages, there has been good progress in moving to our goal and manage 850 megawatts of grid scale batteries by FY 2024. As you can see on this slide, the increasing penetration of new renewable generation in the NEM as well as incident associated with an aging thermal generation fleet are having a profound effect on the volatility in the market. While providing generation near zero marginal cost, the intermittent nature of renewables can contribute to some of the spikes of price volatility you see highlighted in the chart. This increasing penetration of renewables will no doubt change the nature and the requirements of our grid. On the one hand, renewables entering the grid enable decarbonization and decentralization. On the other hand, until long-duration storage capacity is available at an appropriate scale and cost, the market volatility affirms the need for sustained investment in an aging thermal to ensure stability of the networks. The rapid removal of the thermal unit is one of the drivers in recent market volatility you can see in the chart, following the Callide incident in May and Liddell incident in December. Complementary to the thermal fleet, investment and growth in new forms of storage can provide stability. Batteries are the most well-established example of this, and one that AGL is committed to growing and introducing into its portfolio. While this volatility remains in market, sophisticated risk management and trading excellence are key, and I will talk about our hedging approach in more detail shortly. As I highlighted on the previous page, sustained investment in the aging thermal fleet is important for the ongoing supply security of the NEM. That said, the market has shifted. The role of terminal assets is changing and our spend must be focused and prudent. There is no longer demand for these plans to operate as base-load with high technical availability throughout the entire term. The market needs terminal plants to provide stability and flexible services to manage the intermittency of other forms of generation. To meet this need, AGL is focusing its investment on ensuring safe, reliable operations that maximize commercial availability. Commercial availability factor measures whether the plants are available to run then pricing is higher than their short-run marginal costs. This means the plants don't need to be available all the time, and we can optimize maintenance schedules and costs. The second half of the year, in particular, has demonstrated the aforesaid. Third quarter prices of FY 2021 has been subdued due to lower temperature and higher availability of base-load generation. In contrast, in the fourth quarter, lower availability of base-load generation, including our units at Bayswater and Liddell, combined with some cold space has caused higher prices in May and June. Success in this strategy. you'll see the commercial availability factor line and the corresponding regional reference price are follow similar trajectories. Put simply, higher availability and reliability when demand is elevated and more generation is required in the system, and then conversely, the ability to lower output and conduct maintenance when the generation is not required. There are a few ways to achieve this that we have already put into action. As some examples, we have lowered the minimum generation levels at Bayswater to reduce out of the money run period. We are also developing digital twins at both Bayswater and Loy Yang to optimize operations. We continue to assist options to further advance our commercial liability and we'll be implementing this throughout FY 2022. Noting volatility in the market and pricing impact of increasing renewable penetration, hedging and prudent risk management is vitally important. AGL's hedging strategy has mitigated downside throughout the year by capturing prices, and the curve was higher than it is today. Nevertheless, hedging levels have come down in a falling market, which has been reflected in our results. Hedging must adapt to the ageing fleet and manage the reliability and availability risk that comes with the older plan, particularly in periods of low wholesale market price. AGL is adapting its hedging ratio to matches. In FY '21, AGL was slightly oversold in its position due to a confluence of planned and unplanned outages, resulting in buying from the pool, particularly in the fourth quarter of the year. The gas book is also an important source of value for AGL. Our proposed Crib Point gas import project not receiving approval was disappointing, especially given the recent events has demonstrated the value that projects like Crib Point would have had for the Victorian customer. Nevertheless, our gas strategy was never relying only on Crib Point as the supply source. Our gas book is well positioned, and we are still able to contract at the right volume and tenor to secure supply for our customers, which you can see in this new supply contracted in FY '21 and FY '22. Our strategy is to partner and take asset-light positions to derive value through our participation in the value chain. The gas book is important for AGL in the future and for AGL, Australia, in particular, through our demerger plan. It enables the flexible gas power generation position to firm renewables and also support our dual fuel offering for commercial and industrial customers. Our team will continue to source competitively priced supplies to support our ambition in the gas space. I will now hand over to Damien.
Damien Nicks: Thanks, Markus, and good morning, everyone. I'll start by taking you through group underlying profit in more detail. The $271 million reduction in underlying NPAT in FY '21 was consistent with the material headwinds we have continually flagged over the past year. Looking at the chart from left to right, customer markets margin was up, largely driven by higher revenue rates in the consumer gas segment, strong margin contribution from the recently acquired Click Energy and cost efficiencies. This was partially offset by a decrease in consumer electricity margin due to customers switching to lower-priced products. In Integrated Energy, as Markus discussed, both electricity and gas margins were heavily impacted as forecast, partially offset by the Loy Yang Unit 2 insurance proceeds. The positive movement in centrally managed expenses was largely driven by decreased labor and recruitment costs following internal restructuring, reduced activity through COVID-19, resulting in lower discretionary spend on travel and consultancy and reduced spend in digital transformation initiatives relative to the prior year. In addition, the reduction includes AUD 24 million insurance transferred to Integrated Energy. The favorable movement in depreciation was driven by the asset impairments recorded during the year. Higher net finance costs were largely attributable to the embedded interest costs, unwinding from the onerous contracts and rehabilitation provisions recognized at 31st of December 2020. And finally, the reduction in tax expense, largely reflected the fall in profits. As part of our FY 2020 result, we committed to keeping FY 2021 OpEx flat, excluding COVD-19 impacts and acquisitions. And I'm pleased to say that we've tracked better than expected, bringing forward a good portion of the $150 million of cost reductions identified for FY 2022. These savings were driven by benefits from prior year's investment in digitization and cost-out initiatives. The cost-out initiatives involved a significant reduction in discretionary spend, especially with regards to travel, consultancy and corporate functions and labor reductions across the business. These reductions were partially offset by enterprise agreement wage increases and COVID-19 costs. Looking to FY 2022, we are confident of achieving our targeted savings, through asset optimization, labor reductions, digitization, lower net bad debt expense, as well as lower professional and consultancy fees. These savings have been budgeted across the business units, and our leaders understand the KPIs. We're on track to deliver our $100 million target of sustaining CapEx reductions by FY 2023. The majority of these reductions will be achieved through the optimization of our thermal fleet, which Markus touched on earlier, in addition to our decision to mothball one unit at Torrens B. Looking forward, growth CapEx spend in FY 2022 and FY 2023 will primarily focus on the construction of the Torrens Island battery. I want to touch on net bad debt in more detail. I'm pleased to report that our experience in FY 2021 was better than we expected. Our COVID-19-related net bad debt expense was $29 million, $11 million less than what we anticipated at the beginning of the year. This has been driven by improved collection performance, ongoing government stimulus and better-than-forecast economic conditions. We recognize, however, that there is still uncertainty around COVID-19, especially given the ongoing lockdowns, and we continue to manage this risk very closely. That said, our days sales outstanding are at the lowest level we have seen in two years after peaking in October last year. Lastly, the Click Energy integration has been very successful, with collections performing better than expected. I'll now cover cash and debt in more detail. Net cash from operating activities was down 41% in FY 2021, driven by the reduction in underlying EBITDA and a small outflow from margin calls compared with a large inflow in FY 2020. Lower cash tax paid in FY 2021 was consistent with the reduction in earnings and utilization of prior year tax losses. Investing cash flow is about $100 million higher, reflecting the acquisitions of Click Energy, Solgen and Epho. Financing cash outflows were significantly lower than the previous year, as FY 2020 included higher dividend payments and the share buyback program. Pleasingly, our cash conversion rate remains very strong at 97%. Turning to debt and funding. Despite a very challenging year, we still retain sufficient headroom under our Baa2 credit rating and our debt covenants and have approximately $600 million of cash and undrawn debt facilities available as at 30 June. In May, AGL redeemed $600 million of medium term notes, six months prior to maturity. This early redemption will reduce the average cost of debt in FY 2022. On this slide, you can see the indicative financial split to both Accel Energy and AGL Australia based on the FY 2021 result, before pro forma adjustments. The unallocated segment on the right-hand side is predominantly comprised of corporate costs. Roughly speaking, you can expect this to be split between AGL Australia and Accel Energy in the ratio of 60:40, respectively. However, this will ultimately be a function of the final organizational design. As we've previously discussed, greater detail related to the financial profiles of both entities will be communicated in the demerger scheme documents. I'll now hand back to Graeme.
Graeme Hunt: Thanks, Damien. I'll finish our formal presentation with our guidance and outlook. Our guidance for underlying EBITDA and underlying net profit after-tax continues to reflect significant operating headwinds in FY 2022. We expect the underlying FY 2022 EBITDA and underlying net profit after tax to be impacted by a material step down in wholesale electricity earnings as hedging positions when wholesale electricity prices were higher, progressively roll off, and a small impact to wholesale gas gross margin from the roll-off of legacy low-cost gas supply contracts. In addition, the Loy Yang Unit 2 insurance proceeds received in FY 2021 will not reoccur. These impacts are expected to be partially offset by operating cost initiatives. We anticipate depreciation and amortization to be broadly flat in line with our investment profile, and interest expense to increase marginally. Our COVID-19 expected credit losses have been lower than initially forecast. However, this will be subject to ongoing lockdowns and potential economic slowdown. There is no impact to guidance as a result of the closure of Liddell Unit 3 in April 2022. The loss of generation from that unit will be largely offset by OpEx savings. The remaining three units at Liddell will continue operations until April 2023, when the plant will close completely. Operations of Liddell after 2023 are uneconomic due to the large capital investment required, whilst also not in keeping with our critical transition commitments. And we have made good progress on our commitment to deliver AUD 150 million of OpEx savings in FY 2022 and AUD 100 million of sustaining CapEx savings in FY 2023. We will continue to work hard to deliver savings, as we rebase our cost base to reflect the challenges in energy markets currently. As we look forward, we are cautiously optimistic on the improvements in the wholesale price of our key commodities and note that AGL produces some of the lowest cost generation in the NEM. As a result, AGL Energy is well positioned to benefit from any sustained recovery in wholesale electricity prices. As we see the pace of change continue to accelerate, we are we are further assured and committed to our proposed demerger strategy. Subject to approval, the proposed demerger will create two new entities with clarity of purpose and strong foundations, which will position them well to lead the energy transition while protecting and delivering value to shareholders. All our guidance is subject to ongoing uncertainty in relation to the economic impacts of the COVID pandemic as well as the normal variability in trading conditions. Thank you for your time today, and we will now open to any questions.
Operator: Thank you, Graeme. [Operator Instructions] The first question today comes from the line of Tom Allen. Go ahead Tom.
Tom Allen: Thanks Chantal and good morning Graeme, Christine, Damien, and Markus. Just on your growth opportunities, you previously targeted returns on growth projects, providing a 300 basis point spread to our cost of capital. At the 30 June update, you told us that you couldn't commit to those prior targeted return hurdles under the demerger. Can you provide any more clarity today on your new return hurdles for growth investments that would help us understand the incremental EBITDA that you might be able to extract from all these battery investments that you're proposing to make and the like.
Graeme Hunt: Tom, just to clarify, you're looking to understand what those hurdles might be for the new entities or for AGL Australia between now and demerger?
Tom Allen: Both, please, Graeme.
Graeme Hunt: I think we will be giving more information about the latter, the post demerger strategies in details as we go forward. But between now and then, we really are focusing on just delivering the capital growth investments that we've already announced as opposed to making further commitments. But I might hand it to Damien to see whether he wants to add anything more to that answer.
Damien Nicks: Yes. Thank you, Graeme and morning Tom. Look, our current position has not changed for AGL Energy. I think the point you make is what we didn't do at 30 June is commit the new Boards, which don't exist today to committing to what those returns have been in the future. Our returns today exist as 300 basis points over our weighted average cost of capital. That has not changed. It was more about saying when the new Boards come together, they will ultimately make those decisions. But what I can say is that any decisions we're doing today is certainly on that basis.
Tom Allen: Okay. Okay. So that applies to the battery at Torrens that we expect that to be 300 basis points above the cost of capital but forward for growth projects under the demerger, no clarity yet on those returns.
Damien Nicks: Yes. So, exactly right. So, for the TIPS battery, that's exactly right. But I think you could safely assume that looking forward, those Boards will set the appropriate rates of return for those new entities.
Tom Allen: Sure, sure. And just on the same theme, Markus, when you discuss the gas portfolio on slide 18, you mentioned that your strategy is to partner and take asset-light positions to derive value through your participation in the value chain. Can you just please clarify what you meant by this? And whether or not you're suggesting AGL is looking to make new upstream equity investments?
Markus Brokhof: No, I think that was not the message I wanted to give on this slide, it was mainly that we are very close to various producers and that with our contracting strategy, most probably, we have a chance then to get more assets-light contracts. That doesn't mean that we are investing in assets.
Tom Allen: Okay. Thanks for clarifying. Thanks a lot.
Chantal Travers: Thanks Tom. The next question comes from the line of Rob Koh. Go ahead Rob.
Rob Koh: Thanks Chantal. Good morning everybody. Just a quick one. Can you remind us how important to the demerger -- post-demerger capital structure, the asset sales? I think there's just one tiny comment in the presentation that you've received some non-binding indicative offers for those. And are they kind of in the AUD400 million type range that you previously targeted?
Markus Brokhof: Rob, I'll take that one. Yes, I'll take that one. Yeah, I'll take that one, Graeme. Thank you, Rob. So when we came out back in March, we talked about the AUD400 million. That included both the NGSF, Silver Springs, and we also talked about some of our holdings in overseas investments, the funds we own. We've kicked off the NGSF process. And as you said, through the results, that process is ongoing, and we continue to target that range of sales through the process.
Rob Koh: Okay, great. Good luck with it. I’ll get back in line.
Chantal Travers: Thanks Rob. The next question comes from Pete Wilson. Go ahead, Pete.
Pete Wilson: Thanks Chantal. I might just ask one on customer growth, if I can, and the FY 2024 target of 4.5 million services. And this is probably to Christine, the rate of growth was characterized as good customer growth. But just looking at the 250,000 growth in customers this year, if you exclude the MSM, it was about a 0.5% rate of growth for the full year, which doesn't, to me, look like it's on track for FY 2024. And energy customers actually fell in the second half. So just a comment on, I guess, why you would characterize it as good, and how I guess, what you expect to change if you're going to utilize it for FY 2024 targets?
Christine Corbett: Thanks very much Peter. Look, I think overall, we are pleased with the customer growth story. I think if you look at the TSR excluding the Click integration, we delivered organic growth in the order of 27,000 consumer energy services for the full year, 9,000 of which was delivered in a particularly competitive second half. So our strong focus, in particular in the second half has been on retention reduction and that's been a really significant factor but we're really pleased with the result. When we purchased, Click Energy, we expected the Click churn to impact our numbers, and whilst the churn rate of Click Energy customers is higher than obviously the broader AGL book, it is performing better than we expected. So, that was actually a deliberate change in focus for us in H2 was to focus on retention of the Click Energy customers, as well as the focus for us in H2 was focusing on our growth in terms of the telco products that we had launched. And again pleasingly you would have seen that of the telco growth both in terms of international mobile, it supports our business case presumption that we wanted to make sure we offered customers a bundled offer, and of those sales, I said 98% are being delivered as part of an energy bundle. So if those things combined, which actually showed that focus on Click retention, the launch of our telco offer still getting organic growth in the energy book and also the strong margin management. So, overall, very pleased with the customer growth story.
Pete Wilson: Okay. That all sounds perfectly reasonable. The path to FY 2024 from here?
Christine Corbett: So again, what we will still look at is, again, the competitive environment, even if you look at what's happened to actually since sort of DMO, we expect it to continue to be competitive. We will actually the path forward, we're still confident with our 4.5 million customer services that we're targeting by FY 2024. That is going to be across both our energy and telco services. So again, it's a continued focus on strong organic growth, really delivering that simplicity and bundled offer to our customer base. So it's on track.
Pete Wilson: Okay, great. Thank you.
Chantal Travers: Thanks, Pete. The next line comes – the question comes from the line of Dale from [indiscernible]. Go ahead Dale.
Q – Unidentified Analyst: Good morning Graeme and team. And just a quick question on your hedging volumes in FY '22 and '23 relative to '21. Specifically, should we expect to see a similar oversold position possibly expect to see a similar oversold position possibly providing earnings risk in a rising wholesale market and when you say potential to detaching ratio with the ageing fleet, can you quantify being what this is? Is this overall position in '21 there are indication for maybe reductions in '22?
Graeme Hunt: Markus, do you want to speak to that.
Markus Brokhof: Yes. I think it's a bit the opposite. I think when you look at our aging fleet, I think we have to be cautious that we are not following into the oversold position. So we are not oversold. So we have less hedge compared to financial year '21 and that's most probably the message which I would like to give. So we are reflecting somehow the ageing fleet, particularly at Liddell and the availability of Liddell in our hedging ratio, and that is leading to less hedging.
Q – Unidentified Analyst: Okay. So we should assume sort of like a similar price exposure on a go-forward basis relative to forward curve historic?
Markus Brokhof: Yes.
Q – Unidentified Analyst: Okay. Thank you.
Operator: Thanks Dale. The next question comes from the line of Matt Bickerson. Go ahead Max.
Max Vickerson: Hi everyone. Just wanted to ask, there's obviously been a bit of speculation around capacity markets. In the press with the ESB releasing some recommendations. I mean, Graeme, I know you mentioned that, that represents an opportunity for AGL. I just wanted to also put the question to you around carbon pricing, and I know it's a little bit of a medium-term issue potentially around the short term, but just trying to understand if there is a change in market structure for both capacity pricing and carbon pricing, who is going to wear the risk on that in the ongoing arrangements between Accel and AGL?
Graeme Hunt: Look, I think the starting comment would be, it's clear that the market is going to continue to develop with various considerations and mechanisms to support a decarbonization pathway. At the moment, though, there is -- the detail of that and the timeframe, as you said, is not all clear. So if you step back from that, I think that we'd still be in a position that we think that the right thing to do is to go through with the demerger because that really allows the 2 entities to better develop and execute their strategies in whatever the world we face around the carbon transition. For Accel, we will be continuing to focus those go-forward assets on transition towards low-carbon energy hubs. The ultimate close dates of those facilities will be driven by whatever the overall framework and hopefully, some degree of coordinated plan for coal-asset retirement across the country, given that the 70% of the electricity comes from coal-fired generation currently. And on the AGL Australia side, obviously, that business will be best placed to continue to invest directly in more renewables or to underwrite investments of others by having to offtake arrangements.  So when we get to the scheme booklet, obviously, what you're asking about is a risk to both organizations that we'll have to spell out, in terms of the best -- our best news about what might the future scenarios might be and take into account what that might do to the value of each entity.
Max Vickerson: Thanks, Graeme. I’ll jump back in the queue.
Operator: Thanks, Max. The next question comes from the line of Mark Samter. Go ahead Mark.
Mark Samter: Yeah. Good morning, everyone. I have a question around the remuneration that was announced this morning, [Indiscernible] the new CEO. I guess, unfortunately, it's probably not done much to improve gender pay diversity in corporate Australia. But I'm more interested in the fact that the traditionally higher salaries have a culmination to high market cap. And obviously, the Accel CEO has been paid 30% more than the AGL Australia CEO. Should we take that as an inference that you believe that Accel is going to have a higher market cap, actually valued under AGL Australia, because I guess that would be against what most people in the market will think.
Graeme Hunt: Thanks for your question, Mark. This is probably a question best directed to the Chairman. But in any case, I'll have a go at it. I think, Mark, yes, market capital, company size is often a significant determinator of what the salary line should be in organizations, but there are other factors as well, including the experience base of the -- of the executives. And there is never a single point salary that's always within our range. And the consideration of where within a range it falls is -- involve a lot of factors, including, experiences and the types of industries that they're in, what they bring to the challenge of facing the businesses. So it's not as simple as saying that it's directly related to market cap. But I can assure you that the company took external advice in terms of job sizing in putting together the arrangements that have been announced today.
Mark Samter: Okay. Thanks a lot and I’ll hop back in the queue.
Operator: Thanks, Mark. Next question comes from the line of David Leitch [ph]. Go ahead, David.
Unidentified Analyst: Hi. My question is to Markus about -- and thanks for taking it, about the availability factor, particularly as it applies to Bayswater in the coal price, the 63 kcal coal prices, spot is over AUD 220 a tonne at the moment. And I'm just wondering if you can give us a sense of how much less energy might result from the switch to an available capacity factor and price focus and whether the coal price is going to drive the results or costs at all.
Markus Brokhof: David, that's a good question, but I would say AGL is not exposed to spot prices. We have long-term contracts, which are associated with the coal supplies to retail and Bayswater. So I don't know why somebody believes that we are exposed to spot prices. We are not, and that I can say. So it will not drive to profitability going forward. It will still emphasize that Bayswater is most probably a very profitable generator in the NEM going forward. And that's what I would like to convey. There is no exposure to spot prices. That's all underpinned with long-term supplies.
Unidentified Analyst: Are you in a position to give a sense of how much less energy might result from this change in approach looking forward to what the thermal generators might have produced in the past?
Markus Brokhof: This is difficult because at the end of the day, the market prices during the year will define how we run our fleet. In particular, now we are speaking, the prices are in the one-digit area, they are below AUD 10 per megawatt hour. So we now go down with our generation in baseload and so on to the minimum level. So that's exactly how we now run because at the end of the day, if the prices in the market are not anymore reflecting also our marginal cost for our open position, we will not run, and most probably, a lot of generator will do this. So it's hard to say what is the impact on the overall speed.
Unidentified Analyst: Thank you.
Operator: Thanks, David. Next question comes from the line of Baden Moore. Go ahead, Baden.
Baden Moore: Good morning. Just as I think about your earnings for FY 2021 and then the step to 2020. And looking at the oversold position that you've flagged, is there any volume you can talk about? And the – I assume that essentially led by buying energy at relatively higher prices to match that position. So is there a financial impact you can guide to on the impact of that in the FY 2021 year? And do the carrying – will carrying would be impact at all on an accounting basis into 2022? And I think there's some volatility within the gas market as well through the same period. I was wondering if that contributed to your loss in the gas book as well and if you could split that out at all, that would be helpful.
Markus Brokhof: Maybe I'll start and then Damien can talk, too. On the volume, which we are oversold, was 600 gigawatt hours. So 0.6 terawatt hours. And the impact was clearly not healthy, particularly in the months of May and June. So that was the impact. I think on the gas side, we were not exposed, you are right. There was quite some volatility in the gas, in the gas market. Prices jumped up to AUD 56 gigajoule. And we were not affected by this because I think our gas portfolio is quite resilient. We have a sizable storage position in the Iona storage. We also used our new gas storage facility. And in addition, we have our own gas in equity gas and Silver Springs. All the supply sources have contributed to the fact that we will not be exposed on the – on this particular volatility period. I think when we speak about the decrease in gross margin, it has various factors. I think we have still to cover quite a sizable haulage position, which have increased because also our position in Iona solar chip slightly increased, which we had to cover, then the – most probably 40% of the entire 160 million is then allocated to decrease to the electing of our legacy gas contract. And then the rest is really is associated with less gas demand on the industrial side.
Damien Nicks: Thank you, Markus. I might just jump on the back of that one just to round that one out a little bit. So, as you see through our numbers, we've taken the majority of the gas, if you like, downside this year, you will see a small -- very small downside into next year. But I think what Markus is really trying to portray there is in the months of May and June when we certainly saw that volatility as a result of having some both planned and unplanned outages, it made it probably tougher than it otherwise would have been for those last couple of months. So, that's really what the call out was there. And I think your further question there is, how does that then play through into 2022 and 2023? I note a number of questions around what does it mean for 2023? We're clearly not guiding to 2023 for obvious reasons. But what I would say is if there are sustained increases in energy prices into 2023, AGL is well-positioned for those energy prices, but it is still a long way away. And given the volatility, we're obviously very careful in the words we use there because just the sheer amount of time between now and 2023.
Unidentified Analyst: And do you have an estimate of the cost volatility to the 2021 year?
Damien Nicks: Look, what I would say there, so yes, we do. I mean we don't break out that. But we had some wins and some losses in those last couple of months -- couple of months of the year. But look, I'm not going to provide individual blow-by-blow what we did there. But it certainly -- it made the run home a bit tougher for us, that's for sure.
Chantal Travers: Thanks Damien. The next question comes from the line of Gordon Ramsay. Go ahead Gordon.
Gordon Ramsay: Thank you very much. I'll stay on the gas market in for a second. Again, just to get the statement on your results saying your strategy is to partner and take asset-light position to derive value, can you just explain in detail what that means?
Markus Brokhof: Yes, for sure. I think as well as we somehow contract longer term, all these kind of contracts have somehow an asset-light character because we are most probably there not buying at market prices. So, we are trying the production cost plus, and that is main switches. It's the same as our coal contracts, which we have in our book, which are supplying also our old legacy contract has a different pricing sector and that is meant this asset-light corporate.
Gordon Ramsay: Okay. Thank you.
Chantal Travers: The next question comes from the line of Ian Myles. Go ahead Ian.
Ian Myles: Hey, good morning guys. Just a question on the retail. You talked about the margin -- the gross margin cycle. Are we reaching the bottom in 2H 2021 of that margin cycle for -- going down, or is there still further to come in the future years?
Christine Corbett: Thanks Ian. I would sort of say that we are nearing the bottom. I wouldn't say we are at the bottom, but we're certainly, I think, getting close to it where we start to sort of look out the customers who have been on legacy market contracts, the level of the level of switching to newer market sort of offers and lower price offers that are out there. So, as I sort of flagged at the half year, we would think that across the next sort of 12 to 18 months, that is getting close to leveling and bottoming out. So, almost there, but not quite yet.
Ian Myles: Okay. And does gas have the same questions?
Christine Corbett: Gas is different. So, again, you'll actually sort of look at in terms of our margin a customer market perspective, we were able to improve the gas margin there, so different sources at play there. So less pressure in gas.
Ian Myles: Okay. That’s great.
Chantal Travers: Thanks. And next question comes from Daniel Butcher. Go ahead Daniel. Daniel?
Graeme Hunt: We’ll have to move on Christine -- Chantal.
Chantal Travers: Okay. We'll skip then. The next question comes from the line of Mark Busuttil. Go ahead Mark.
Mark Busuttil: Hi, everyone. I'm just trying to get a better understanding of the fiscal 2022 guidance, specifically as far as what you're guiding to an EBITDA basis at the lowest level in back seven or eight years. If we really want a couple of weeks when Origin came out with their own EBITDA guidance for energy markets, they talked about higher fuel costs. I think the markets partially addressed this, but I guess, firstly, can you confirm that you're not seeing the headwinds from higher fuel costs, et cetera as you got most of that locked in six-month contracts? And secondly, when we started seeing the wholesale forward prices rise, it is sort of the beginning to the middle of May. Have you already locked in all of your forward sales in fiscal 2022 by that point? And, therefore, you haven't seen the benefit of those higher prices come through in your 2022 guidance?
Damien Nicks: Let me -- thank you, I'll take the start of that question and I might hand over to Markus on the hedging side of things. From an input cost perspective, I think as Markus said, we are largely hedged on that position. So we don't see a lot of exposure there. What we've said in the guidance, we still see some small roll-through of legacy gas contracts, just the year-on-year type of movement, but not exposed, if you like, from a coal perspective. So that's probably the difference you're talking to there. Then from a hedging perspective, we're constantly hedging throughout the period. It's not a one-off point in time. But what I would say is largely the result by the time you get to sort of May, June is hedged, whereby, customer pricing is locked in for the consumer book, and any event C&I that's rolling through the book is happening on an ongoing basis. So I think the way to think about this, any changes to pricing will be felt more heavily into the 2023 year that it would be in 2022. Markus, I don't know if you want to just add to that?
Markus Brokhof: No, I think that's true. But on the other hand, we are also doing dynamic hedging. So if we believe we can resort some hedges and then getting better prices than again, in the market, I think we are doing also this kind of activity, so it's not all static. So we still have, for example, you can buy some positions and bank in the market, which we are doing actively when prices are coming down. So these, kind of, hedging activities we are doing still in order to even optimize our hedging position.
Mark Busuttil: Got it. Thank you.
Chantal Travers: Next question comes from the line of Rob Koh. Go ahead Rob.
Rob Koh: Thanks Chantal. Can I ask a question about the remuneration report? If I read the FY 2022 long-term incentives correctly, there's no more ROE target at all, and 25% is linked to carbon intensity and green sales as a percentage. So I'm just -- in relation to the carbon intensity targets, does that take account of things like unplanned outages? And for the green sales percentage, does that take account of the cost of the alternatives out there?
Damien Nicks: Why don't I -- Graeme, let me grab that one, and then I'll just talk to some of the details there. Rob, you asked. But yes, you're right in your read of that ROE has been dropped from the target. So, it's now sits at 75% to a 25% on the climate measures. And they were the measures we put in place last year. We've rolled them out, obviously, a further year for the next LTI. In terms of your question on, I think, emissions to begin with, you're right. If we had outages then there would be, if you like, change to the emissions. And I'll give you an example, this year alone, whereby we had outages at Macquarie at a time where we were running Liddell – sorry, Loy Yang more. So we actually have emissions up for the year because brown coal has obviously got more emissions than black. So the way we're looking at this, it's over a period of a number of years. It's not just points in time. I mean it will be measured at a point in time. But you're right, any outages will be -- will have an impact on that. But what we've assumed through those measures is Liddell coming out of the portfolio, they're already included in those measures. And I think your last question was on 1/3 of those measures. Is that right, Rob? Was it on the green revenue?
Rob Koh: Yes, yes. Damien, that makes sense. And yes, the question on the percentage of green revenue, I mean, if you just kind of increase the prices of the black products that potentially -- or drop the prices of your black products, does that then help you get the price of -- the percentage of your green product down?
Damien Nicks: Look, again, if you took back to the extreme, yes, it would. Again, it's over a sort of a 4-year period whereby it's over total revenue and the green revenue, obviously, to move the dial on that has to move a lot. So it's all about what are we doing selling those green products and those carbon-neutral products that we have out in the market how effectively we are moving those. And just to give you a, I suppose, a perspective on what that would require. Every -- I think, about $100 million of carbon neutral revenue would move that percentage by about 1%. So they are very stretching targets and there's a lot we need to do to deliver those, just to give you a bit of context on the size of those movements.
Graeme Hunt: And maybe to add -- yes -- we had a couple of high-level comments on the LTI arrangements. Clearly, the move to royalty TSR as opposed to having an ROE target was something that was taken up by the Board after significant interaction with the market after last year's rent strike. So, it was driven by that as was really the -- there was strong support for a decarbonization element of long-term incentives. But typically, I think that everyone sees is it's you need something to drive you on the journey, not just an opening position on the closing position for you down the track. So these kind of metrics are the bits that we can work to. But to your concern, I guess, or potential concern that you could kind of gain these things, it's clear that they've been designed in such a way, and the Board will have appropriate overall discretion to make sure that, it's in the shareholders' best interest in an overall sense, as well as hitting these targets.
Damien Nicks: And maybe, Graeme, just if I add to that one as well. The three -- the reason we've picked those three, too, Rob is exactly to that point. So they're all doing directionally the same thing, but in very different ways. So that's why we've got the controlled emissions intensity. We've got the renewable capacity, obviously, that's driving us to get more flexible capacity into the market. And then the third one is, is driving some of those carbon-neutral products as well. So a lot of thought went into those 12, 18 months ago, and I do think they absolutely drive the right direction for the market.
Rob Koh: Cool. Yes, no doubt, a lot of thought went into it. A lot of work I know happened. So, yes, all the best for achieving them. Cheers.
Operator: Thanks, Rob. Next question comes from the line of Dan Butcher. Go ahead, Dan.
Dan Butcher: Yes. Thanks. And apologies if I ask the question that have been asked, my [Indiscernible] dropped down, not provided by AGL by the way. Just curious, Christine, maybe ask you about overall on Kaluza partnership in a little bit more detail. Just curious how -- maybe that compares to Origin's Octopus platform and will completely replace your existing retail platform over time.
Christine Corbett: Yes.
Dan Butcher: I’m just curious to get insights about that one.
Christine Corbett: Yes. So look, early days for us. But if I look at sort of the key objective for us, it really is, when we look at and we went around globally looking at different opportunities and options that may be available, and when we landed on the Kaluza platform, what we really liked about it was actually the fact that it certainly accelerated the digitization element that's aligned to sort of our strategy. But importantly, it was really built around sort of this decarbonized, decentralized future. So when we look at it, it's very much a future energy platform. We look at that build. It's built around sort of this common, sort of, data spine. And it really allows customers into the future to engage in sort of that energy market transition. So it's sort of aligned to the future of where the energy is going. Part of that, it then obviously, then has a sort of like a real time sort of billing engine and platform. And that's what sort of they're looking at and using over in at the UK at the moment. And you look at what they're doing sort of at scale, its the migration of the SAC, the customer base to the Kaluza platform. We come now here into Australia, and the option it gives us is to work with OVO Energy Australia, to localize that Kaluza platform for the Australian market conditions. And that's really sort of going to be the focus over the next couple of months -- not couple of months, couple of years, I should say. Should that then be successful, what that then does is for AGL Australia, it then gives us the option to say, that could be the new energy platform that we may want to go with. So it gives us an option. It allows us to not bet the farm on that now, but to be able to test the platform, localize the platform, see how customers engage with the platform, and that shows us up and allows us to sort of manage the risk of any migration of such large customer base into the future. In the nearer term, what we are then looking to do is to realize. And if you look at Epho from what I read, and I don't know, what I sort of read in the press, Kraken, Kraken is probably from what I understand is based sort of around a bit of a cultural play in terms of the ways of working, as well as the sort of cost to serve efficiency plan. And we're certainly looking at those in a immediate terms, and we'll see that come out with both some of the underlying operating cost per service, but what we're already getting now so that we will be certainly realizing over the next couple of years. We're also starting to look at how do we actually make sure that we make it easier and simpler for our agents, particularly around sort of things like a more simplified and centralized core catalog to support our multiproduct retail ambitions and CRM systems to be able to make sure that what our customers see, use and want is replicated by our agents. So they are the two near-term goals. But certainly, we believe the Kaluza platform with a really exciting opportunity in terms of where energy will head, where energy transition will head, and bringing our customers along on that journey.
Daniel Butcher: That's great. Thanks. Can I ask a quick one on Markus, actually, if that's okay. Just on your coal book, you mentioned you're not really exposed to coal prices, but I noticed you dropped the slide you usually have on the coal book. And at the half year results, you had 2 million or 3 million tonnes of coal uncontracted, which could be drawn down from stockpiles. I'm just sort of curious how to think about that in the context of your comments about operating stockpile.
Markus Brokhof: I think we are optimizing our coal supplies exactly. We have 3.1 million or 3.3 million at the moment in stockpiles at Bayswater. So with this kind of stockpile, we have the possibility to flex supplies, and we have the possibility to optimize our off-take. I think exactly that is how we optimize our coal off-takes. And that means also that we are more resilient to any price peaks in the market. So we are not exposed to our generation of particularly our short-term marginal cost to coal prices.
Daniel Butcher: Okay. Just be clear, there's no real coal impact on the FY 2022 guidance being down?
Markus Brokhof: Yes.
Daniel Butcher: Thank you.
Operator: Thanks, Dan. Next question comes from Tom Allen, UBS Securities Australia. Go ahead, Tom.
Tom Allen: Thanks. Markus, the press recently reported that the Energy Security Board recommending some market design changes towards a decentralized capacity market. And so that will be built around a physical retail reliability obligation and that central strategic reserve. So if those recommendations were applied, can you describe how this might change the way that you use your thermal generation assets? And what upside, if any, it might provide to your earnings?
Damien Nicks: I think, Tom, we understand the principle of where that might go, but I think we really need to understand how we're working in detail before we could give kind of the market in your guidance as to what, when and how it might impact, both from the perspective of what would happen to the retailer and versus what would happen to the generation end. I think that's what's clear and where that work is heading is that there is a recognition of the fact that to get the smooth transition, there has to be appropriate commercial support for the value that generators bring, particularly coal generators bring to the stability in the network. So I think that was in the detail, and I think we would need to understand that in more detail before you -- before we could kind of give the market any sense of the degree of a positive or negative impact. But happy for Markus to talk broadly about obviously, you want to add anything to that?
Markus Brokhof: No, I think in general, I think when we speak about this kind of capacity payment structure, I think that would still mean that -- for example, a typical example, we took the decision to mothball our Torrens B1 unit. It's this kind of structure would have been in place, most probably has -- our decision would have been different. So most probably one, I would say, a very concrete example where this would play in. Otherwise, as Graeme said, I think we are looking very much forward to understand the business structure, how this payment is applied to which generation, because at the end of the day, mostly probably also, a renewable existing renewable generation should then benefit from this, but all these kind of terms are not clear. So yes, let's wait how the structure and how the concept will then further mature.
Tom Allen: Okay. Thanks.
Chantal Travers: Next question comes from Rob Koh. Go ahead Rob.
Rob Koh: Thanks Chantal. Okay. A question for Ms. Corbett, if I may. You've given us lots of details about the customer business and congrats on that result. The new AGL will also have the shareholding in PowAR. So, I'm just wondering if you could give us your thoughts on the future opportunities and plans for that part of your business, please?
Christine Corbett: Yes, certainly, and I'll also get Damien to lead in. But if we look at in terms of PowAR, the exciting opportunity for AGL Australia is obviously the development pipeline. Also, when you sort of look at the recent completion of TILT under PowAR and obviously, 20% ownership in there, we think it is a fantastic asset for AGL Australia to really look at whether it be how we partner in terms of development opportunities or probably more so start to sort of look at how do we underwrite renewable generation through various sort of offtake agreements. So, pinnacle and a key pillar for us under AGL Australia will really sort of be in that pathway towards carbon neutrality. We know are now demerging with the Scope 1 and 2, and that's obviously important for our investor base, but increasingly -- what is the pathway to really then understand how we can work with following sort of demerger offsetting issues that our customers, especially in terms of electricity supply and I think having access to a very robust strong development pipeline is the best way for us to do that. So, very important pillar. With regards to the particulars of PowAR, let me just hand to Damien because he's been integral both with PowAR and also the TILT acquisition.
Damien Nicks: Yes. Thanks, Christine. Look, I actually think you've covered basically everything I was going to talk to there. I think it is the access to the PowAR platform, but also importantly, as you said, it's what else that business can do with AGL Australia in terms of firming up renewable supply in -- from a contracting sense, and that's certainly where the customer base is going as well. Look, it's a great business. It has great development over the years and we're really confident in the development for the future. So, great acquisition, and I think a really good addition, if you like, into AGL Australia's -- into their book. So I won't add any more on that one. I think we're almost out of time as well.
Rob Koh: Yeah, good. Thank you very much.
Chantal Travers: Thanks Rob. Next question is going to be our last question, comes from the line of Dale [ph]. Go ahead Dale.
Unidentified Analyst: Thank you. Hopefully, a quick one. I know your debt covenants have significant room, but there was recent news article hypothesizing with credit rating placement negative outlook at the end of June, which was prior to today's step down in earnings guidance for FY 2022 potential for Accel to have limited life generation assets and transformation CapEx, potentially unable to carry as much debt. Is there a scenario where the demerger might need more equity? Is that a risk you can put a pin in today, or are you still working through this issue and subject to earnings recovery in 2023?
Graeme Hunt: Look, I think -- sorry. Why don't I start and you can add some more to that. I think what we said at the June 30 update that we’d made significant progress with the banks on debt structures for both new organizations, and we're working through the details of those at the moment. And so I will, obviously, give more detail around all of the capital structures relating to both end of these -- down the track. But I think it's a little bit overcooked at the moment. People have got to continue to speculate about -- concerning those areas. But Damien, is there anything else you want to add?
Damien Nicks: Look, just really briefly, look, we are still confident in achieving investment grade ratings for both of those entities. So I think that hasn't changed, clearly, since we're at 30 June. As Graeme said, we're obviously working with the banks and the USPP holders as we work our way through this. And clearly, today, we've also announced the underwrite of the dividend. So that underwrite of dividend, as we said, was to effectively help fund both the Tilt acquisition, but also the battery project, which will occur next two years.
Unidentified Analyst: Okay, great. Thanks guys.
Graeme Hunt: Okay. Well then, thanks, everybody, for joining us today. I appreciate your interest, and hopefully, we've been able to deal with all of the questions that we were able to take over the balance of roadshow we’ll obviously touch base with many of you going forward, so look forward to that. And if there's any questions that you’d like us to consider, please reach out to Chantal, the Investor Relations staff in the meantime. So thanks very much. I look forward to catching up with you soon.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.